Operator: Hello, and welcome to Zillow Group's Third Quarter 2025 Financial Results Call. [Operator Instructions] Also, as a reminder, this conference is being recorded today. If you have any objections, please disconnect at this time. Brad, you may begin.
Bradley Berning: Thank you. Good afternoon, and welcome to Zillow Group's quarterly earnings call. Joining me today to discuss our results are Zillow Group's CEO, Jeremy Wacksman; and CFO, Jeremy Hofmann. During today's call, we will make forward-looking statements about our future performance and operating plans based on current expectations and assumptions. These statements are subject to risks and uncertainties, and we encourage you to consider the risk factors described in our SEC filings for additional information. We undertake no obligation to update these statements as a result of new information or future events, except as required by law. Please review the cautionary statement and additional information in our earnings release, which can be found on our Investor Relations website. This call is being broadcast on the Internet and is available on our Investor Relations website. A recording of the call will be available later today. During the call, we will discuss GAAP and non-GAAP measures, including adjusted EBITDA, which we refer to as EBITDA and adjusted free cash flow, which we refer to as free cash flow. We encourage you to read our shareholder letter and earnings release, both of which can be found on our Investor Relations website as they contain important information about our GAAP and non-GAAP results, including reconciliations of historical non-GAAP financial measures. We will open the call with remarks followed by live Q&A. And with that, I will now turn the call over to Jeremy Wacksman.
Jeremy Wacksman: Good afternoon, everyone, and thank you for joining us. I'm pleased to share that Zillow delivered another excellent quarter, thanks to continued momentum across both our For Sale and Rentals operations. For Q3, we reported strong revenue growth, EBITDA margin expansion and positive GAAP net income. In the housing market that's bouncing along the bottom, Zillow continues to outperform both our outlook and the broader industry, showing the strength of our execution and the durability of our strategy. Delivering growth while managing costs keeps us on track toward our 2025 targets of mid-teens revenue growth, expanding EBITDA margins and positive full year GAAP net income. Zillow has earned its success because we are a consumer-focused product-led company transforming the way people move. For consumers, that means a simpler, faster, more transparent way to buy, sell or rent a home. For real estate professionals, it means more effective tools to grow their businesses. And for our shareholders, it means sustained growth driven by innovation regardless of where we are in the housing cycle. We are delivering the seamless digital end-to-end experience that consumers and increasingly the real estate industry expect and depend on. And we deliver innovation quickly across our ecosystem and across the customer journey. In Q3 alone, that included adding virtual staging to the super listening experience in Zillow Showcase, enhancing messaging functionality and debuting the Zillow app inside ChatGPT. I will dig into our latest launches in a few moments, but first, I'll walk you through our Q3 results, which show how well our strategy is working. Total revenue increased 16% year-over-year to $676 million in Q3, exceeding the high end of our outlook range. For Sale revenue increased 10%, outperforming the broader housing and mortgage markets, which continue to bounce along the bottom. Within For Sale, residential revenue grew 7% and mortgage revenue grew 36%. Rentals revenue grew 41% year-over-year with 62% year-over-year revenue growth in multifamily. Together, this revenue growth, along with effective cost management helped us generate EBITDA of $165 million, above the high end of our outlook range and EBITDA margin expanded more than 200 basis points year-over-year. The combination of revenue growth and cost discipline also resulted in positive net income of $10 million in Q3. Our consistently strong performance reinforces the fact that Zillow can grow regardless of what the market is doing. What drives our success and differentiates Zillow from everyone else in our category is consistent execution on our integrated transaction strategy, relentless product innovation and a focus on consumer and partner experiences. Our success starts with our brand, which is loved and trusted by both consumers and real estate professionals. Our apps and sites had 250 million average monthly unique users in Q3, and we are a strong partner for the residential real estate industry. Agents who use at least one of our products, whether that's Premier Agent, Follow Up Boss, ShowingTime+, Showcase or dotloop, are responsible for an estimated 80% of U.S. residential real estate transactions. Our brand strength and quality product offerings feed our broader Zillow ecosystem and give our partners a powerful edge in building their businesses as they operate where consumers are and deliver the experience consumers want. We take the strength of our brand and audience seriously, always looking for ways to meet consumer needs in an ever-evolving and competitive landscape. The latest demonstration of that principle launched this month, the Zillow app in ChatGPT. Consumers searching for homes in ChatGPT can explore listings, maps, photos and pricing directly in the Zillow experience and can seamlessly continue on to Zillow's website or mobile app to book a tour, connect with an agent or learn about financing. It's another new doorway directly into our ecosystem, just like when we built one of the first apps for mobile. Being early matters. And as we learned then, first-mover advantage pays off when technology transforms how people use the Internet. We are currently the only real estate app inside ChatGPT, a testament to the speed and technical depth of our teams as well as our near 20-year track record of using AI to build innovative, data-driven consumer-first products responsibly. We are still in the very early innings of how AI will transform consumer experiences, but we strongly believe that the critical differentiators between those that succeed and those that get left behind in our category will be user experience, quality of audience, unique insights and providing integrated transaction services instead of just top-of-funnel lead generation. We feel incredibly well positioned to take advantage of the AI transformation given how unique our strategy is. Now I'll dive deeper into how our consumer-first product forward thinking has shown up across our business and helped us grow in Q3, starting with For Sale. Our For Sale revenue is consistently outperforming the broader market as we deliver strong revenue growth and continue to drive share growth relative to the total industry transaction value. We're executing well on our For Sale strategy to make buying, selling and financing easier for consumers and agents alike. Zillow is built for where the industry is going, not where it's been. We've moved beyond home search and become a diversified transaction-focused platform that integrates the disparate steps of the housing journey, connecting with an agent, touring, exploring financing options and more and equips agents to successfully guide consumers through it. We continue to scale our immersive listing experience, Zillow Showcase. More than 50 brokerages have adopted Showcase as a go-to marketing solution to help agents win more listings and sell homes faster. These enterprise partnerships spanning leading national brands, regional powerhouses and innovative independents reflect industry recognition that Showcase gives agents and sellers a measurable edge in today's housing market. As of the end of Q3, Showcase was on 3.2% of all new listings in the U.S., up from 2.5% last quarter and more than double our share versus a year ago. And in Q3, we launched AI-powered virtual staging on Showcase listings. This new feature uses computer vision to restyle rooms instantly with just a tap, letting buyers picture a home's potential while giving agents who use Showcase another way to make listings stand out. Whether a buyer starts by virtually walking around homes with Showcase, instantly booking an in-person tour and connecting with an agent or exploring their financing options, Zillow provides the right support at the right moment in their journey. With products like BuyAbility, a powerful tool from Zillow Home Loans that helps buyers shop based on what they can afford, we're making financing simpler and more transparent and improving how we identify high-intent buyers in the process. BuyAbility has enrolled 2.9 million people since it launched after surpassing 2 million last quarter. These buyers are more knowledgeable and ready to act when they connect with an agent through Zillow. In addition, we introduced a verified digital pre-approval and began rolling out a new borrower application designed to get shoppers quickly to a real decision and improve loan officer efficiency. These updates are live now on our website and coming soon to our apps. We also just rolled out major enhancements to our proprietary messaging system that lets buyers communicate directly with their agent and with loan officers from Zillow Home Loans within the Zillow app, thanks to an integration with Follow Up Boss. Buyers can now co-shop with a partner or co-buyer right inside Zillow, sharing homes, comparing favorites and staying aligned in one place. We expect keeping homebuyers better connected will deepen engagement, help real estate professionals provide better service to their clients and ultimately boost transaction rates. We are the company that is innovating rapidly to apply new technology where it matters most, improving the customer journey and helping real estate professionals succeed in the age of AI by giving them the tools and insights they need to serve clients better, work more efficiently and grow their businesses. As part of that effort, we've continued to invest in a growing set of features within Follow Up Boss. Recent updates include real-time call transcripts, smart summaries that recap each connection's recent communication with suggested next steps and custom Zillow Home Loans pre-approval letters for buyers who request one, each integrated directly in the Follow Up Boss system, giving agents richer context and helping them communicate faster. All of this innovation comes together and brings our For Sale strategy to life in our enhanced markets, where we're connecting high-intent movers with high-performing professionals and delivering a more integrated transaction. In Q3, 34% of connections came through the enhanced market experience, up from 27% last quarter and on our way to our midterm goal of at least 75%. Virtually all Zillow connections in the enhanced market experience are now managed through Follow Up Boss, enabling better collaboration amongst buyers, agents and loan officers. We're also seeing double-digit adoption of Zillow Home Loans across enhanced markets, a clear sign the integrated experience is delivering value as we help consumers get home. As that integrated experience expands, we're updating our invite-only pay when you close program for top-performing teams. This month, we announced Zillow Preferred, the next chapter for our Flex program that recognizes partners for delivering outstanding customer experiences and provides them access to dedicated support and growth tools. Zillow Preferred builds on the foundation of Flex and the new name helps ensure shoppers know they are connecting with a preferred partner of ours. As we expand the integrated experience in our enhanced markets to the majority of our connections, we expect our preferred program to grow in tandem. Earlier this month, we also introduced Zillow Pro, a membership that brings together Zillow's most impactful tools and services into an integrated AI-powered suite that helps growth-oriented agents scale their businesses. Zillow Pro helps agents more effectively serve all their clients in their sphere, not just those they connect with on Zillow. With features like My Agent, client insights flow into Follow Up Boss and agents can see what their buyers are eyeing on Zillow, invite any customer to connect on Zillow and keep their branding visible across Zillow as those clients shop. Zillow Pro also enables real-time touring for clients an agent found off of Zillow, unified messaging and property sharing among co-shoppers and premium profiles that let agents customize how they show up on Zillow. Over time, top-performing Pro users become eligible for Zillow Preferred. Zillow Pro gives agents the data, tools and brand reach they need to uncover opportunities, work smarter, deepen relationships and drive more transactions. It also expands the serviceable addressable market of our housing super app to more agents and all consumers. Given that agents who use our products touch an estimated 80% of U.S. residential real estate transactions, we have a strong partner base to sell Zillow Pro into. We look forward to rolling it out across the country throughout 2026. Now I'll update you on rentals, where we're seeing some of the strongest growth and momentum across Zillow. Just like in For Sale, we're focused on speed, transparency and innovation on behalf of consumers and partners. As a reminder, our strategy in rentals is twofold. First, we are building a comprehensive 2-sided marketplace of homes for rent, giving renters a single trusted destination to find every type of property from single-family homes to large apartment complexes. Second, we are modernizing the transaction experience for renters and property managers alike, streamlining how they connect and handle applications, leases and payments. This strategy works because it solves real pain points. Renters get transparency, efficiency and trust, property managers get better qualified applicants and higher ROI. And because renting is where nearly every mover starts, our progress here is expanding the top of Zillow's housing funnel and creating durable growth across the business. We are executing well on this strategy and accelerating revenue growth as a result. Rentals revenue increased 41% year-over-year in Q3, primarily due to a 62% increase in multifamily revenue. In Q3, Zillow Rentals had 2.5 million average monthly active rental listings, ranging from single-family homes to large apartment complexes. This includes 69,000 multifamily properties listed on Zillow. That's almost double the 35,000 we had 2 years ago, and there is room to expand with an estimated 140,000 total multifamily properties across the country. Multifamily is a key growth driver, and we're expanding both our property count and wallet share as more large property managers choose to upgrade to more comprehensive advertising packages with us. As proof of the real value we add for our multifamily partners as we deliver high-intent qualified renters to fill their vacancies, Zillow Rentals ranks #1 in partner satisfaction in our category for return on marketing investment. Our multifamily listing syndication agreements with Redfin and Realtor.com are benefiting consumers and property managers by expanding the reach and visibility of rental listings online, helping more renters see more available units on more sites and helping property managers connect with qualified applicants more efficiently. Beyond cultivating a comprehensive marketplace, we're innovating quickly to make renting simpler, fairer, more transparent and more affordable. This quarter, we expanded our cost transparency features across the Zillow Rentals network, showing renters a full breakdown of move-in and monthly costs and providing calculators to help them estimate total expenses before applying. This helps cost burden renters plan accurately and in turn, property managers get more qualified serious applicants. Many renters on Zillow can also reuse a single secure rental application across listings, saving time and cutting repeated fees, an example of how Zillow reduces friction and makes renting fair. We also announced a new partnership with Esusu, the leading rent reporting platform to help renters build credit through on-time rent payments. This collaboration expands credit building access nationwide, allowing any renter, not just those who pay rent through Zillow, to have their payments reported to major credit bureaus, strengthening their financial footing as they prepare for the next step. This partnership is another example of Zillow's broader effort to help renters and buyers access and afford housing. Finally, we recently launched Listing Spotlight, a premium listing option that gives single-family rentals and smaller buildings the highest exposure to this category available on Zillow. Building a better experience for renters and property managers has earned us strong rental traffic over the past few years with about 35 million average monthly unique visitors in Q3. As we execute on our twofold strategy in Rentals, we expect continued acceleration in year-over-year revenue growth in Q4, supported by growing inventory and partner adoption. The path to our $1 billion-plus annual rental revenues opportunity is clear, and we're confident in our ability to keep delivering value for consumers and partners. Our strong results in both For Sale and Rentals show how Zillow is successfully innovating on behalf of consumers and real estate professionals across the housing journey. As we continue delivering excellent results, we're also aware of the external noise that has gotten louder in recent months, and we're confident in our ability to execute through it just as we have the past few years whenever the volume has turned up. We're all eyes forward on building a marketplace that expands visibility and choice, promotes fairness and broad access and empowers consumers and the real estate professionals who serve them. Solving their problems is what ultimately matters. That's what enables success in the modern era and the AI-driven future. That's what drives results, and that's exactly what Zillow is doing with this quarter as the most recent example. We'll keep executing with discipline, delivering value for consumers and partners and leading the industry toward a more transparent consumer-first future. We have a strong brand, a lightning fast innovation cycle and consistently excellent execution. Thanks to that steady focus and execution, we are on track toward our full year 2025 goals of mid-teens revenue growth, expanding EBITDA margins and GAAP profitability with year-over-year revenue growth expected to accelerate in Q4. 2024 and 2025 have proven our strategy works, and we are proud of our ability to grow our revenue while also expanding margins. What's most encouraging is that our execution is setting us up for what we believe will be sustainable, profitable growth well into the future. We're excited about our opportunity to unlock $1 billion of anticipated incremental revenue in For Sale just by rolling out our integrated transaction playbook to more people in more places, even in a flat macro housing environment. The momentum we're seeing in enhanced markets indicates we're on the right track towards capturing that opportunity. And Zillow Pro is well positioned to meaningfully expand our potential for growth in For Sale. We also see a clear path toward our $1 billion-plus annual Rentals revenue target and a much larger business beyond that as we build our comprehensive 2-sided marketplace. Behind our strong financial performance is a clear mission, helping millions of people get home and supporting the professionals who make that possible. As a beloved consumer brand and a trusted partner platform, we're proud of the work we're doing to make the housing journey simpler, more transparent and more integrated. With that, I'll turn the call over to our CFO, Jeremy Hofmann.
Jeremy Hofmann: Thanks, Jeremy, and good afternoon, everyone. We delivered strong results in Q3 that exceeded our expectations and are well positioned to continue delivering strong performance as we execute on our strategy in 2025 and beyond. Q3 revenue was up 16% year-over-year to $676 million, which was above the high end of our outlook range. Our better-than-expected revenue performance, combined with effective cost management, delivered EBITDA of $165 million also above the high end of our outlook range. Q3 EBITDA margin was 24%, more than 200 basis points higher than a year ago. Our trailing 12-month EBITDA as of the end of Q3 grew 29% year-over-year as we continue to scale revenue and control costs. We reported GAAP net income of $10 million in Q3 as a result of these efforts. For Sale revenue grew 10% year-over-year in Q3 to $488 million, roughly 500 basis points above the mid-single-digit residential real estate industry growth as reported by the NAR and tracked by Zillow. This was also well above the purchase mortgage origination volume growth for the industry, which we estimate was roughly flat. Purchase mortgage origination volume is noteworthy because the majority of Zillow buyers purchase their home with a mortgage. Within the For Sale category, residential revenue grew 7% to $435 million. Of note, residential revenue year-over-year growth accelerated 100 basis points from Q2 to Q3 despite a 400 basis point tougher comparable quarter-over-quarter. We saw contributions to this growth broadly across our agent and software offerings and within our new construction marketplace. Agent offerings include Zillow Preferred, formerly Flex, market-based pricing and Zillow Showcase. Software offerings primarily include Follow Up Boss, dotloop and ShowingTime+. Within the For Sale revenue category, mortgages revenue was up 36% year-over-year in Q3 to $53 million. Our mortgages strategy is making it easier for more buyers to choose financing through Zillow Home Loans, which is the main growth driver of our overall mortgages revenue. Purchase loan origination volume grew 57% year-over-year to $1.3 billion. Turning to Rentals. Q3 revenue was $174 million, with growth accelerating to 41% year-over-year. Rentals revenue comprised 26% of our total company revenue in Q3, up from 21% a year ago. This increase was driven primarily by our multifamily revenue, which grew 62% year-over-year, up from 56% year-over-year growth in Q2. Our value proposition to multifamily property managers and execution by our sales force to both win new properties and upgrade to more comprehensive packages is evident in our Q3 results. We increased the number of multifamily properties on our apps and sites by 47% year-over-year, reaching an all-time high of 69,000 multifamily properties as of the end of Q3, up from 64,000 properties at the end of Q2. As a reminder, we measure our multifamily property count as 25-plus unit buildings and do not include our industry-leading long-tail properties, which is a significantly larger count. When you include these long-tail properties, Zillow Rentals had 2.5 million average monthly active rental listings in Q3, the most in the category. Our Rentals offering is clearly resonating in the market today. By expanding our listings across more sites and apps through trusted platforms, including Redfin and Realtor.com, we are helping provide more visibility into available properties, a simpler search experience and the option to shop on the platform of renters' choice. For multifamily operators, we offer a compelling value proposition by providing efficient and cost-effective alternatives to reach more potential renters through the largest rental audience. The quantity and quality of high-intent renters on our platform has allowed us to expand our wallet share with property managers. We expect this formula to continue to drive growth in Rentals towards our $1 billion-plus annual revenue target. Q3 EBITDA expenses of $511 million were slightly favorable compared to our outlook. We drove leverage on our total fixed costs, which grew 5% year-over-year compared to total revenue growth of 16%. This includes share-based compensation expense, which was down 8% year-over-year in Q3. The results of our cost discipline continue to be evident as we expanded our EBITDA margins by more than 200 basis points year-over-year. The combination of revenue growth and cost discipline is also yielding robust cash flows. During the first 9 months of 2025, we generated $295 million of free cash flow, a 28% increase compared to the same period a year ago. We began reporting free cash flow as a new metric this quarter. We plan to do so going forward to help you all better understand the effectiveness of our strategy and execution and our ability to consistently generate cash from our core operations. We ended Q3 with $1.4 billion of cash and investments, up from $1.2 billion at the end of Q2. Program to date share repurchases have been $2.4 billion at a weighted average price of $48. We are very pleased with the program and expect to be opportunistic in share repurchases going forward. Turning to our Q4 outlook. We expect total revenue to be between $645 million and $655 million, implying a year-over-year increase of 16% to 18%. We expect For Sale year-over-year revenue growth in Q4 to be in the high single digits. We expect residential revenue growth similar to Q3 and mortgages revenue growth of approximately 20% with continued purchase origination volume growth of over 40%. We saw an accelerated number of loans that closed in late September, resulting in outperformance in Q3 mortgages revenue versus our expectations. In aggregate, we expect mortgages revenue to grow roughly 30% for the second half of 2025. Our guidance reflects our expectation that challenging housing market conditions and macro uncertainty will continue. We expect our Rentals revenue growth to accelerate in Q4, increasing more than 45% year-over-year, driven by further multifamily revenue growth acceleration. We continue to expect the Redfin partnership to be accretive to EBITDA dollars in the second half of 2025. For the full year, we continue to expect Rentals revenue growth to be approximately 40% for Q4, we expect EBITDA to be between $145 million and $155 million, representing a 23% margin at the midpoint of our outlook range. EBITDA expenses will decrease from $511 million in Q3 to an estimated $500 million in Q4 due to normal seasonality. For full year 2025, we continue to expect to deliver mid-teens revenue growth. We expect fixed cost investments to grow modestly with inflation while investing in variable costs ahead of revenue to drive future growth, primarily in Rentals and additional loan officers and Zillow Home Loans. We are on track to deliver expanded EBITDA margins and positive net income for the full year 2025. As an early read, we expect 2026 to have similar growth and EBITDA margin expansion as we have had the last 2 years. We are planning for the macro housing environment to continue to bounce along the bottom in 2026 as well. As we look even further out, we are confident in our mid-cycle targets for $5 billion in revenue and 45% EBITDA margins in a normalized housing market. We have continued to execute on the integrated transaction experience for both consumers and agents. As of Q3, this includes continued expansion of our enhanced markets with 34% of connections now going through the experience and increasing showcase adoption to 3.2% of all new listings. This also includes rapid growth in Rentals with 69,000 multifamily properties advertising with us as of the end of Q3. As Jeremy mentioned earlier, we recently announced the upcoming launch of our Zillow Pro offering. Through Zillow Pro, the expansion of our serviceable addressable market sets us on a path to engage more customers and more agents. We plan to beta test Zillow Pro in the first half of 2026 and to expand nationwide over the second half of next year. We expect a very modest incremental contribution to revenue from Zillow Pro in 2026. In the near term, we will focus on demonstrating value for the product and incorporating learnings to support continued innovation. To close, we are successfully executing on our strategy, are on track to meet our full year goals and are very excited about the opportunity ahead of us. We believe we have the right investments in place to support our strategy and are delivering strong growth while maintaining a disciplined cost structure. That formula is driving expanding margins and positive GAAP net income. And with that, operator, we'll open the line for questions.
Operator: [Operator Instructions] Our first question will come from Ron Josey with Citi.
Ronald Josey: Maybe, Jeremy Wacksman, I wanted to ask a bigger picture question for you just on all the news around AI and commentary around Zillow apps on ChatGPT. You talked about ChatGPT and app just being a new doorway to Zillow. And what I wanted to hear a little bit more is just the integration here, the risk, the opportunities of being that first mover on newer platforms. And then as newer doorways open, Zillow does have 250 million uniques, obviously, right? And so how do you balance your current traffic with these newer doorways with potentially having to spend more on brand awareness?
Jeremy Wacksman: Yes. Thanks for the question, Ron. I mean we think about this as really pure opportunity. We're excited about the partnership integration we did with OpenAI to be the first real estate app and one of the first apps in this new paradigm. I think you should expect other providers to build out similar ecosystems. And this is really similar to other platform shifts that create expansion into leading brands. Think about as search exploded, think about as mobile exploded, and we were early on to the mobile platform as well. And just look at how brands like ours developed in those shifts, right? Mobile wasn't a replacement. It was additive. It was more time spent. It was incremental use cases. It was easier for us to start to build a more digital transaction than you had in desktop search and the browser only. So we think of it the same way. That's why we kind of call it another new doorway directly in. And then to your question on brand, I mean, I think that's why we feel so fortunate we have a great strong brand that consumers want whenever you get these new opportunities, it's an opportunity to be additive to that. And when our core base, 80% of our traffic comes to us brand direct. And the data and the platform and the software that we offer, those differentiators to create this really unique experience, I think, get strengthened by these platform shifts. So I know there's a lot that is written about, well, what does this mean for acquisition? It will, for sure, be an opportunity for all of us to tap into more customer demand in more new ways. But we're also equally excited about the ability to build AI into Zillow. As you know, we've been doing that for the last 20 years and really accelerate that effort the last 3 or 4 as these capabilities have come online. And so building more native capabilities into the software for our consumers and for our agents to make the transaction experience better, to make it more seamless to create more of that one-stop shop for buyers and sellers and for their agents, that's really the opportunity. So you're always going to see us lean in and be early. We're really fortunate that we can do that, and it's a tremendous testament to the technology teams we have at Zillow that we were able to do that here. And we think this is a really, really great platform shift for us to take advantage of.
Operator: Our next question will come from Dan Kurnos with Benchmark.
Daniel Kurnos: A couple. We've obviously done a lot of work on the Marriott court cases. Clients are particularly focused on the recent FTC suit. So maybe it would just be great to get your perspective on any impacts and how you think it plays out? And then separately, the other hot topic with investors is somewhat related, Compass proposed acquisition of Anywhere. So antitrust concerns aside, maybe your views on any potential disruption if agents choose or are forced to take their 3-phase marketing program or if anyone else bandwagons on their efforts to grow the private marketplace listings.
Jeremy Wacksman: Yes. Maybe I'll try and hit both of those, and Jeremy hop on with anything I missed. With respect to the FTC case, we've been syndicating multifamily property listings to Redfin for about 6 months now. We're seeing the benefits to both consumers and property managers. You see more consumers can see more listings on all of our sites. An interesting stat is renters on Redfin now have access to 3x the number of rental properties they had when Redfin was trying to acquire those on their own. So it's very pro consumer. And then it's also very pro property manager. As a result of the syndication agreement, property managers are seeing increased ROI. As we said earlier, we're #1 in partner satisfaction for return on investment. And while we are excited about that ROI we deliver today, there's a ton of room for growth. We hear regularly from our large property managers that we are the strongest advertising channel, as they're thinking about their very complicated advertising mix, yes, they advertise on Zillow, other apartment sites, but they also advertise on Google, on Facebook, on Instagram, on TikTok, they market their own property websites. And so being a growing source of high ROI advertising for them, we feel great about that. So to us, it's obviously pro consumer and pro property manager, which makes it pro competitive, and we look forward to making that case as the process plays out. And then on the proposed merger, we don't really see any concerns to our business. We do see maybe more noise around hidden listings and the potential to push more hidden listings on to sellers and to buyers and to harm consumers. And so for us, our listing standards which help ensure that agents do right by their sellers. And if they're going to market a listing, they make that listing broadly available to all buyers. We continue to see the vast majority of the industry align with those standards. And we've always advocated for open, fair and transparent access. That's why we always have the most listings. Most folks want their listings on the Internet. They don't want to put the Internet back in the box. And we expect that behavior to continue because agents are trying to do right by their sellers and help their sellers sell their home.
Operator: Our next question will come from Brad Erickson with RBC.
Bradley Erickson: I have 2. First, I guess, the residential business looks like it outgrew the market by a couple of points in Q3. Can you just lay out maybe any market forces that leaned one way or the other on the resi business during the quarter that netted out to that number? And then second, can you just talk about what's embedded from a market growth perspective in the Q4 guide? And then I have a follow-up.
Jeremy Hofmann: Yes, Brad, it's Jeremy Hofmann. I'll take that one. Yes, we were definitely pleased with the outperformance in Q3. For Sale grew 10%, which outperformed the housing market by about 5%. And then obviously, the mortgage market was flat. So pleased to be able to keep taking share. When we zoom out, our For Sale line has outperformed the industry by 20% over the last 2 years on a 2-year stack. So that's great as well because that's what we tend to focus on more than quarterly fluctuations. On the residential front within For Sale, I'd note that the revenue accelerated from Q2 to Q3. So we went from 6% growth in Q2 to 7% growth in Q3 despite a 400 basis point more difficult comp. So I think that's an interesting thing for you all to just keep eyes on and part of the market dynamics. And obviously, Q4 is probably an easier comp for the housing market comparatively. So when we look at what we're doing, we're pretty consistently outperforming the market. We're doing it over multiple periods and feel like the way in which we're doing so is pretty consistent. The enhanced markets are performing well. Zillow Home Loans continues to grow share alongside that enhanced market expansion. Showcase is expanding really nicely. Follow-up Boss is getting in the hands of more people across our agent base. New construction is doing well as well. So it's a really nice formula, and it's one that we're looking forward to continuing to roll out in Q4 and then into 2026.
Bradley Erickson: Great. And then just a follow-up on Zillow Pro. You mentioned in the prepared remarks just several points of kind of value add. Can you maybe just expand a bit on kind of where the biggest sort of value unlocks come from with Pro? And then also just how does that get monetized? Or how do you envision that getting monetized over time?
Jeremy Wacksman: Yes, I can take that. I mean I think, first, just to outline what Zillow Pro is because it is new, and we just did announce it. it's effectively an evolution of our software platform for agents. So it's a membership, it's a bundle so they can get access to all of our software. And that includes Follow Up Boss, right, the software that almost every preferred agent is using now. That includes premium branding on Zillow so premium profiles and consistent branding. That includes expansion of a feature called My Agent, which allows them to connect with all of their clients. And so previously, agents could use My Agent for Zillow clients that they had on Zillow, but now they can invite their clients from their database or their sphere of influence to connect with them and become their My Agent on Zillow and get access to great real-time client insights from us about those customers. So it really bundles all this together, and you want to think about that as a way we are trying to help them just run their business better, right? We're always going to try and help them deliver for our customers, right? But we want to help them deliver for all their customers. And then the last piece on Pro is it ends up being the pathway to Zillow Preferred, right? Zillow Preferred is the subset of agents and teams that we're trusting to handle our customers. We're going to continue to grow that audience of agents and teams as we go from 34% of our customers getting that experience to 75% plus. And this is the great way in. Many folks who are on Zillow Pro and using this stack of software will become eligible to be part of Zillow Preferred as well. So we see these things working really well together. And we're really excited, as Jeremy said, to test and learn with our initial beta customers early in the year and then roll it out throughout '26.
Operator: Our next question will come from Nikhil Devnani with Bernstein.
Nikhil Devnani: When you step back and you think about the longer-term opportunity with the Zillow Preferred program, how do you think about the impact on your share spread over time? Would you expect to see a widening gap as these markets scale and the cohorts mature there? And specifically, I'm thinking about the delta between residential and TTV.
Jeremy Hofmann: Yes, I'll take that. Thanks, Nikhil. I would think about it as the expansion of Zillow Preferred is really a testament to what we're doing in the enhanced markets and how well we feel like those are going. So as we expand the enhanced markets, we will expand Zillow Preferred in tandem. And then with respect to outperformance, I think the outperformance has been strong. We expect it to continue to be strong. I would expect it from both the residential perspective and from the For Sale category as well. So much of the enhanced market experience really comes from that integration of our preferred agent base and Zillow Home Loans. And when we think about the customer experience we're building, the ability to drive conversion, the ability to drive adoption and ultimately take share, that's where we have so much confidence in not only 2025, but really towards that mid-cycle target of $1 billion of incremental revenue regardless of what the housing market does.
Nikhil Devnani: And maybe if I could follow up on Rentals. You've talked about wallet share gains on the back of the increased distribution with Redfin and Realtor. It makes for a compelling sales pitch as well for your customer base. So do you think about needing to run that business any differently from a sales strategy perspective next year if this arrangement is being kind of questioned by the case? Or is it business as usual? Just wondering how we should think about how you guys run the business in Rentals in 2026.
Jeremy Hofmann: Yes. I'll take that one as well. It's business as usual. Jeremy laid out how we feel about the defenses we have, and we're looking forward to sharing those perspectives. But in the meantime, business as usual, I think we're really proud of what we've done in Rentals over the past couple of years, and we're confident in our ability to grow strongly in 2026. One of the questions would be why do we feel good? I think 2025 just set us up really well, right? Property growth has been strong. We grew properties in Q1 and Q3 by 5,000 a quarter. We had that spike of about 9,000 added in Q2, and we expect to grow properties nicely in Q4 even with typical seasonal patterns. And we're actually translating all that supply growth into accelerated revenue growth throughout the year. So we grew revenue 33% in Q1, 36% in Q2, 41% in Q3, expect 45% plus growth in Q4. Supply is in a great spot. And then you're right, we've added a lot of value to property managers on the demand side because of our organic traffic and those syndication agreements, right? Each of the 69,000 properties is getting more exposure across Zillow Rentals, Trulia, HotPads, StreetEasy, Realtor.com, Redfin, ApartmentGuide and Rent. So that just puts us in this really nice position to continue to grow properties, continue to see advertisers upgrade to higher packages and continue to drive really, really good ROI.
Jeremy Wacksman: And. Yes maybe just to add to that as like to zoom out and Jeremy touched on multifamily. If you think about the Rentals marketplace overall, obviously, multifamily is a big part of the revenue growth driver right now. But the strategy of building this 2-sided marketplace with all available listings or as much as we can and building the transaction experience for the renter, there's a ton of opportunity beyond that $1 billion-plus revenue target we've talked to you all about as you think about attracting even more renters and having them consume more content from, yes, multifamily, but also long tail. So I think if you zoom out and look over the last couple of years, that strategy has been working incredibly well. We were growing building count and growing audience all along the way, and it's obviously accelerated this year. But we feel great about that strategy. And yes, we feel great about multifamily revenue growth and its contributor to the midterm target, but we're not done there. We see a fantastic business beyond that as we layer on more value for the renter and for the property manager and the long-tail landlord.
Operator: Our next question from Tom Champion with Piper Sandler.
Thomas Champion: One question we get a lot is on the various components of residential revenue. And I'm wondering if you could just talk about the segment, the broad categories around agent software, new construction marketplace, what kind of rolls up into that number? And Jeremy, your point on the revenue acceleration was very interesting. So just curious if there was any 1 or 2 components that might have driven that. And then just really super quick, Jeremy Hofmann, if you could talk about headcount and investment into next year. I understand it's probably still in planning process, but I think you provided some early comments on '26. Just any preliminary thoughts there.
Jeremy Hofmann: Yes. Thanks, Tom. I'll take both of those. So I'll take the For Sale relative outperformance first. Yes, it was a really good quarter. I think we've had a really good year so far. I'm really quite pleased with the team's ability to accelerate revenue into a tougher comp. So all of that does feel quite good. With respect to drivers, I would think of them as the enhanced markets are performing well. So we went to 34% of all connections at Zillow are now in these enhanced markets, and that's well on our way to the 75% target that we are marching towards in those mid-cycle targets. Zillow Home Loans is growing really nicely, grew nearly 60% in Q3, and we're seeing double-digit adoption of Zillow Home Loans across the enhanced markets. So that feels quite good. And then you couple it with Showcase expanding nicely. Showcase is 3.2% of all new listings today. That's more than double a year ago. And obviously, it's still early. We're learning a ton. We've only been selling the product for about 18, 20 months at this point, but plenty more to come there. And then Follow Up Boss, just getting in the hands of more people, and we just keep building better and better features to make the software more and more interesting to agents. In our Preferred base, it's in nearly everybody's hands, and the business has just done really well since we acquired it. So we're really pleased there. That's all doing quite well on the existing homes front. And then new construction team has just executed nicely. They've been able to show up for partners quite well in a challenging time and really nicely complement the rest of the For Sale business. So that's really a good formula. And then with respect to costs in 2026, the way we're thinking about it is actually pretty similar to '24 and '25. I think revenue growth formula is pretty similar. We grew 15% in '24. We're on pace for mid-teens in 2025. We think that's a good way to think about '26. And we think the expansion of margins in '24 of 200 basis points, '25, we're on track for solid margin expansion, and we think that's a good way to think about '26 as well. With respect to the cost base, you're going to hear more of the same from us. We are planning to keep fixed as flat as possible and fight inflation, but there will obviously be some inflation and headcount is going to stay pretty flat on the fixed side. And then on variable, where we see opportunities, we will invest. We've done that in Rentals, I think, quite nicely. I think we've done it well in Zillow Home Loans. And where we see these really outsized growth opportunities, we will go run at those. But the fixed cost discipline allows us to really get leverage and grow profits faster than revenue. And when you think about that together with marketing, which we dial up and down based on what we see in the market, it all nets out pretty nicely to solid revenue growth, ability to expand margins and then GAAP net income comes in there as well because as we hold our fixed costs flat with inflation, we get a lot of leverage on stock-based comp. So stock-based comp was down 8% year-over-year this quarter. We expect it to be down 10% year-over-year for 2025. And that's just a function of the fact that 90% of our stock-based comp charge really sits in that fixed bucket. So you'll hear much of the same for us, I think, in 2026, and it's a testament to the strategy and execution that the team has been able to deliver.
Operator: Our next question will come from Lloyd Walmsley with Mizuho.
Lloyd Walmsley: I just wanted to ask about sort of the back and forth of the funnel between the agent and Zillow Home Loan side. I think it's clear how in enhanced markets, agents can be helpful in making consumers aware of Zillow Home Loans. Where -- in terms of the other direction, people coming in, whether that's the viability calculator or otherwise, are you seeing a good flow from people who come in through the mortgage funnel and attaching them to an agent? And is that an opportunity you guys are focused on at this point?
Jeremy Wacksman: Lloyd, I'll take this, and welcome back to the call. We think about them as more similar than different, to be honest. I mean you hit it right. If a consumer is interested in touring homes, whether that's virtual or booking a real-time tour and they start with an agent, making sure a Zillow Home Loans loan officer is ready for that agent and can be a choice for that customer, that's a big part of the growth. We can do that in enhanced markets, and that's how we're rolling out this formula is giving access to more and more agent teams, a Zillow Home Loans team for them to work with for us to earn their trust as one of their choices for Zillow Home Loans. But that works in reverse, right? So the set of customers that might be shopping financing or asking affordability questions, they're using viability, and that's a good proxy, right? So viability is up to now 2.9 million people have enrolled and used it and found their viability number. That's up from 2 million last quarter. Some of those folks are ready right away to go get preapproved. And we now have a digital preapproval they can do and a loan officer can help them, and that's the path they want to go down. But many of those folks end up doing that and then shopping. And so it really is not that separate funnel, right? So many of those viability customers just go tour. They're just a more high-intent customer, and they're more interested in Zillow Home Loans because they've started the process with us. And so it makes that conversation more natural for that agent to recommend Zillow Home Loans. So we see both those things kind of growing together over time. And if you just put the loan officer hat on, that's how a loan officer would think about it. These are just customers coming to Zillow. They're learning the financing answer, they're finding the home they want to buy and the loan officer is there to help nurture them along in partnership with the agent whenever they're ready and whenever they find the house. So for us, we will work on both products from a consumer experience standpoint, but they really are kind of 2 sides of the same coin more and more.
Operator: Our next question will come from Dae K. Lee with JPMorgan.
Dae Lee: First one for Jeremy Wacksman. Following up on your comments on the ChatGPT integration, I understand that mobile transition was an incremental for you guys. But with ChatGPT, there is kind of like an intermediary sitting between you and the consumers kind of helping you make that connection. So like when you view the consumer journey for users who start their home search in ChatGPT versus those who start directly on Zillow, are you seeing or are you expecting any differences in engagement or monetization potential? And do you expect these users to eventually come back directly to Zillow or continue engaging through ChatGPT? And I have a follow-up.
Jeremy Wacksman: I mean I think it's really early to try and prognosticate how this all plays out. But I will say, if you think about like what framework could you use to think about that question, the actions you want to take in this category typically lend themselves to a very bespoke category experience. It's a very long-duration shopping cycle for a very large emotional asset where you have to make very almost regulated decisions and need regulated help to make that decision, right? If you're going to buy, you have to get in touch with an agent, you have to work with a loan officer or most people will do those things to make a very complicated financial decision. And the complications of the industry itself require a ton of local specific data and a ton of software to work through all those steps. So all of that to us says building GenAI into that platform is how we're going to make it easier, faster, better. Consumers are going to start and ask questions everywhere the way they always have. That's kind of, I think, where the -- does this feel like an app store or does this feel like a search engine question plays out. But once you start browsing and shopping, you ultimately raise your hand to want to transact and having a bespoke native kind of vertical experience is how most people are going to want to transact. They want this one-stop shop, and it's more about how can GenAI help enable that one-stop shop for them when they're ready. So we think about it as increased exposure. And we also think about it as like new ways to build that vertical experience because you now can interact with an intelligent piece of software that listens to you and remembers you and his patient. And so we're very excited to wire that up inside of Zillow. But that's why we're so excited about this. It's yet another way for us to start to build this more integrated transaction, which is what this category has desperately needed.
Dae Lee: Got it. And then as a follow-up to Jeremy Hofmann. When you look at Zillow Pro and Zillow Preferred, like how should we think about like how that could change the monetization potential of your platform and profitability potential of your platform? And when you gave us an early view on 2026, does that early view include meaningful contribution from these products?
Jeremy Hofmann: Yes, I'll take that. Thanks for the question. I would think about the $1 billion mid-cycle target in For Sale coming from Preferred. Pro is really on top of that. So I don't expect any meaningful changes to the way we monetize in Preferred. I think it's working quite well, and we expect to continue to roll it out steadily over the next couple of years as we march toward those targets. And then with respect to Pro, we don't expect it to be much of a contributor from a revenue perspective in 2026. We think 2026 is a year where we do a bunch of beta testing first half of the year, start to roll it out nationally second half of the year, but we're going to really focus on adoption and learning. And then ultimately, we have, I think, a really interesting opportunity to sell Pro over time and really expand our SAM. But 2026, I wouldn't be expecting huge revenue contribution.
Operator: Our last question will come from Ryan McKeveny with Zelman.
Ryan McKeveny: One on Showcase. So good growth and expansion of listing share. You also called out the AI-powered virtual staging rollout in 3Q. I guess any initial uplift you would say to the overall listing share based on the virtual staging? And I know that's early days, so maybe not. But maybe you could speak more broadly about virtual staging. And should we think of that offering as somewhat unique to the Showcase offering? Or could that be something of broader application over time?
Jeremy Wacksman: Yes, Ryan, I'll take that. So on Showcase broadly, 3.2% of new listings, we feel great about. We're constantly testing ways to drive more adoption and how to help build it into the workflow of teams and agents that are working through listings. You're asking them to capture media differently in many ways. And so that's part of why so much of our tech focus is on how to make that easier. And then you're right to call out, we're also improving the product while we're growing adoption, right? So we added AI-powered virtual staging this quarter. We added SkyTour last quarter, which is this fantastic generative AI ability to fly around with all the drone media we capture. We've added listing dashboards. So we continue to add capabilities. With AI-powered virtual staging specifically, yes, we definitely could see that coming to more types of listings over time. I think we wanted to start with the listing experience where we have the native software built and learn and build from there. But over time, just like we want to see Showcase technology on more than 5% to 10% of listings over time, we've given you all that as intermediate-term targets. But the goal is really to create a more interactive listing experience on all listings. Photos and text are just not going to cut it. And that's what Showcase shows everybody, and that's why you're seeing the rapid growth of Showcase even in these early innings because this is just a better way for buyers to consume content. That's why buyers spend more time with it. That's why sellers and listing agents want it because ultimately, they're trying to get the homes sold faster and they're trying to win the next listing, and they can use Showcase to do both of those things.
Ryan McKeveny: That's great. And then just one final one. A couple of questions ago, you were asked about the different mortgage funnels. You called out in the shareholder letter, the loan pre-approvals within Follow Up Boss. That sounds interesting. Should we think of that as kind of additive or new to the potential funnel on the mortgage side? Or is that more -- just a more efficient way of doing things that had historically been done seemingly in a different way? Any thoughts there would be great.
Jeremy Hofmann: Yes. Thanks, Ryan. I'll take it. I would think of it as really just making the experience better for the shopper, the agent and the loan officer. It's a really nice integration. And if you think about what a shopper is looking to do, that shopper wants a really tightly coordinated team between its loan officer and real estate agent. And we think building functionality that helps that integration work in Follow Up Boss, which is where these agents tend to run their businesses is beneficial for all parties in the transaction. So that's the way I would be thinking about it.
Operator: This completes the allotted time for questions. I will now turn the call back over to Jeremy Wacksman for any closing remarks.
Jeremy Wacksman: Great. Thank you all for joining us today. We really appreciate your continued support. We are very excited for what's ahead and look forward to speaking with you again next quarter.
Operator: Thank you for joining Zillow Group's Third Quarter Financial Results Call. This concludes today's conference call. You may now disconnect.